Operator: Thank you all for joining us this morning. Before I turn the call over, I need to advise that certain statements made during this call today may contain forward-looking information, and actual results could differ from the conclusions or projections in that forward-looking information, which include, but are not limited to, statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, cost of production, capital expenditures, future metal prices and the cost and timing of the development of new projects. For a complete discussion of the risks, uncertainties and factors, which may lead to actual financial results and performance being different from the estimates contained in the forward-looking statements, please refer to Yamana's press release issued yesterday announcing first quarter 2021 results as well as the management's discussion and analysis for the same period and other regulatory filings in Canada and the United States.
Daniel Racine: Thank you, operator. Thank you all for joining us, and welcome to our first quarter 2021 conference call. With me today is Jason LeBlanc, our CFO; we have Yohann Bouchard and Gerardo Fernandez available to answer questions. I will start as always with health and safety. Our total recordable injury rate was 0.42 in the first quarter of 2021. Both Minera Florida and El Peñón were the first and second underground mines in Chile to be recognized with the Seal of quality award, which certifies 100% compliance with COVID-19 prevention and controlled standard by the ACHS. As the pandemic stretches into the second quarter, we continue to take every precaution to keep our people and communities safe and work closely with our community partners to support them in the fight against COVID-19. As disclosed during the quarter, we have formally adopted a Board approved climate change strategy as a continuation of Yamana's commitment to low carbon future. The strategy is underpinned by the adoption of two high level targets: a science-based 2-degree Celsius target compared to pre-industrial levels and an aspirational net zero target by 2050. This is a fundamental year for the strategy during which we are determining greenhouse gases emission baseline, and laying out the ground work for GHG abatement pathways required to meet our 2-degree science-based target. Turning now to our Q1 operational highlights. We had a strong production with just over 201,000 ounces of gold that by standout performances at Canadian Malartic and Minera Florida. It is also worth noting that in March Jacobina achieved on all-time monthly high production of 16,348 ounces of gold. We produced 2.12 million ounces of silver during the quarter underpinned by a strong performance from Cerro Moro. GEO production for the quarter was 231,988 ounces in line with plan. We are maintaining our 2021 guidance of one million gold equivalent ounces, including 632,000 ounces of gold and 10 million ounces of silver at an all-in sustaining cost between $980 and $1,020 per GEO. Our cash cost guidance is also unchanged at between $665 and $695 per GEO. As with prior years, we expect stronger production and lower costs in the second half of the year with the fourth quarter being the highest production and lower cost quarter. 
Jason LeBlanc: Thank you, Daniel, and good morning, everyone. Turning now to our financial performance. Revenue in the first quarter was $422 million, compared with $365.5 million in the same period of 2020, an 18% increase, which is attributable to both higher sales volumes, as well as higher prices compared with the last quarter. Gross margins excluding D&A rose 28% to $258.1 million from $202.1 million in a year earlier period. Earnings during the quarter were $0.06 per share compared to $0.05 a year earlier. On an adjusted basis, earnings were $0.07 per share versus the same $0.05 unchanged from last year. Our expansionary and sustaining capital was approximately $22 million and $42 million respectively during the quarter. Expansionary CapEx should average between $30 million and $40 million per quarter for the balance of the year with the highest percentage attributable to the construction at Odyssey, which is starting to ramp up. Sustaining CapEx will be between $45 million and $50 million per quarter. So a little bit higher than what you see here in Q1. For exploration we spent about $15 million on CapEx and $6 million was expense during the quarter. For the rest of the year, those numbers should be a little bit higher on a quarterly basis compared with Q1. We continue to generate strong free cash flows and cash flows from operating activities increased to $160.2 million in Q1 versus $129.4 million in the same period last year. Cash flows from operating activities before net change in working capital were $183.4 million and 11% increase over last year. During the quarter, we generated free cash flow before dividends and debt repayments of a strong $76 million. Combined cash and cash equivalents at quarter end totaled $678.1 million. This includes about $222 million that has been made available for our MARA project. Similar to our first half, second half split on production that is weighted to the second half of the year and a declining cost profile for 2H. Our operating cash flow will follow a similar trend of stronger second half cash flow generation, but overall we'll be generating stronger year-over-year cash flows this year compared to last year.
Daniel Racine: Thank you, Jason. To close, I will repeat the same message has been delivered – has delivered over the last several quarters, which is to acknowledge the resilience of our people. We'll continue to do outstanding work against the challenging backdrop of the global pandemic. The embody the tenacity and commitment to set Yamana apart I couldn't be prouder. And with that, we'll be happy to take your question. Operator?
Operator: Thank you. We will now take questions from the telephone lines.  Thank you. The first question is from Anita Soni from CIBC World Markets. Please go ahead.
Anita Soni: Good morning, everyone. My question starts off with the grades at El Peñón. Can we expect a sequential increase in grades over the course of the year, or will you be sort of at the level you're at in Q2 and then more rapid sort of hockey stick into the back half of the year?
Daniel Racine: Good morning, Anita. Yes, you're absolutely right. The grade will increase unlike we've mentioned a few time, the second half, it's about 60% of our production coming in the second half. So you'll see grade going up slowly in Q2 and then more importantly in Q3 and in Q4.
Anita Soni: Okay. And then secondly, with respect to Jacobina, I noticed you guys are talking about phase through and – sorry, Phase 1 and continuing to maintain the current recovery rates at higher throughput. But it seems to me like you've already achieved that. I mean, it was 96.8 and what was it 68.2 was the throughput level. So I'm just a little confused as to why you guys are a little worried that that wouldn't be sustained.
Daniel Racine: No, it will be. It's just that we’re going to go to Phase 2, then the equipment will be already installed, but it's also at the same time to recover more by gravity, Anita. So we just want to – the recoveries will stay that basically and it's just more gold will report to gravity instead to go to the leaching circuit. And then you're saving cyanide and cost by doing that, but it's also going to be used for the future Phase 2. So we won't need to install more equipment in that area for Phase 2.
Anita Soni: Okay. Then moving to Canadian Malartic, so the grades are coming in at 1.18, and that – is that predominantly because you're at the bottom now of the Canadian Malartic pit, not really necessarily that you're in – it's the Barnat grades that are coming through. And the second thing on that was – and Michael love this, the stripping. It seemed like there was a little bit of a maybe the numbers are not correct, but it was 2.5 million of waste that was moved in the quarter and I think I was expecting a little bit more compared to the technical report. So I'm just wondering if that number just wasn't reported on what you stripped?
Daniel Racine: Okay. I'll answer the first part and I will let Yohann answer the stripping, but under grade it both. So as we go down deeper in the main Canadian Malartic pit, the grade is getting better as this less stope that were mined from underground, but also the grade in Barnat is getting higher as we go down to the pit. So it's bode at the same time, and then you'll see grade continue to go up during the year as we mine more of the Barnat to open pit. Maybe Yohann on the stripping and then the waste.
Yohann Bouchard: Yes, for sure, Daniel. So in Q1 basically as you, I mean, Anita as consider number, I mean, for the OPEC, I mean, it seems like the move less times, but capitalized tons we move more. So overall, I mean, this is just different wins I would say, but in Q1 we did move more tons than our budget overall.
Anita Soni: Okay. So you're just reporting the operating waste.
Yohann Bouchard: Yeah. Exactly.
Anita Soni: So the capitalized – okay. Okay. And then my last question was with regards to the MARA care and maintenance costs. Could I expect that to continue through the rest of the year and until I guess MARA starts up?
Daniel Racine: Gerardo?
Gerardo Fernandez: Yes, we will continue – good morning, Anita. We will continue through the year and yes, it's not through the start up, but once the project gets into construction, the care and maintenance get absorbed by the construction overall cost.
Anita Soni: Okay. And at that similar level then, right?
Gerardo Fernandez: Yes.
Anita Soni: Okay. All right. That’s all. I'll let other people ask questions. Thanks.
Daniel Racine: Thank you, Anita.
Operator: The next question is from Mike Parkin, National Bank. Please go ahead. Your line is open.
Mike Parkin: Great. Thanks guys for taking my questions. Can you just give Jason maybe a bit more color in terms of what you expect with regards to the heightened taxes in Q2 anyway, you can kind of quantify of course?
Jason LeBlanc: Yes, sure, Mike. Yes, I think, we actually guided – I think we guided on taxes pretty much every year, we did again this year. I think it was – look $180 million to $200 million probably expect that towards the lower end is actually where we're seeing that come in. I think we had $20 million of cash taxes paid in Q1 and I kind of  call it 40% is a remainder in Q2 balance split, Q3, Q4. So I think a pretty similar trend that you see in other people, Q2 tends to be the tax season. I know I filed my taxes this week as well. So just wanted to point that because it'll be a little bit up in the – in this quarter here that we have so.
Mike Parkin: Okay. And then just speaking on Minera Florida, which you had a really good March in Jacobina as well, or should we kind of expect that carryover at those kinds of rates or that's just – you kind of had a really strong kind of finish to the quarter and we should really just kind of rely on the overall current guidance that you gave for the year to estimate Q2 or basically are you seeing great year performance that you could see potential for kind of the upper end or potentially beat on those assets?
Yohann Bouchard: Good morning Mike. So yes, we maintain a guidance for both, but sure both mines achieved better than plan in Q1. So, they should continue to do quite well in Q2 as everybody probably know, we weighted our first half at 47% of our production and the second half at 53%. So, if you look at Q2, Q2 will be a better quarter than Q1 and then again in Q3 and Q4. But for both mines, they deliver better than expectation. And then you can assume they will continue to do the same in the next few quarters. But for now, we’ll maintain the guidance and then we'll revise after Q2 if it continues to go the same way. Both had extremely impressive March production.
Mike Parkin: Excellent. And then one kind of you are hearing ever increasing chatter around inflationary pressures especially on steel prices. But we're still not seeing really management teams talk about inflationary pressures in terms of cash costs. Can you give some color there? Are you seeing any kind of pressure in terms of labor costs, or your consumables beyond kind of normal rates or are costs inflationary pressures pretty modest at this point?
Yohann Bouchard: Pretty modest, Jason any color?
Jason LeBlanc: Yes, I know Mike we for all of our activities are pretty much locked up for the course of this year. Similarly, we put foreign exchange hedges and this year covers off the better part of three. Call it two thirds to three quarters of our local OpEx gives just that certainty on a line-item basis for cost. And then procurements the same as we stretch out to the end of this year, then contracts start to rollover. Maybe that slips in a bit. We haven't seen it really manifest in numbers yet, but I think, as part of our overall procurement activities we've been ramping up as we're going to kind of the third and fourth suppliers now as a part of our tendering processes. So, we've been able to continue seeing very competitive pricing. But acknowledge what we're all seeing in terms of steel prices, copper prices, et cetera. But we're going to get in front of that. Haven't seen anything yet, so not a concern as of yet, Mike.
Mike Parkin: Super. Thanks. And congrats on a good quarter guys.
Daniel Racine: Thank you.
Operator: Thank you. The next question is from Tanya Jakusconek from Scotia Capital, please go ahead, your line is open.
Tanya Jakusconek: Thanks, good morning everyone. And you for taking my questions. Jason, I'm just following up on what Mike was talking about inflationary pressures in the cost structure. And you mentioned you are not seeing anything at this point. Can you just remind me in your cost structure, what percentage is labor, what percentage is fuel and what percentage is consumables?
Jason LeBlanc: Thanks, Tanya. I’ll start with fuel first, it’s up 5% across the Board and then the other two categories call it, 30%, 35% plus or minus something like that.
Tanya Jakusconek: So, 30%, 35% for labor and that sort of range for also consumables?
Jason LeBlanc: I think that's correct.
Tanya Jakusconek: Okay, perfect. Thank you. And then maybe just on the bigger theme picture still Daniel again, just circling back on higher gold price and with COVID impacts around the world, are you hearing anything from the jurisdictions that you operate in with respect to changes in taxation and/or royalties, Brazil, Chile, Argentina? Anything at all in where you operate?
Daniel Racine: Well, there's discussion – good morning, Tanya first. So, there's discussion in the countries as you probably seen in Chile. In Argentina, it seems that actually it might go the other way for us. So that can be good in the future or for the future project we have in the country. In Brazil, it's pretty quiet now too with COVID, all the operation I'm happy, I'm touching word here, they have not been really impacted by COVID. But we don't really hear anything. I don't know, Jason, if you want to have something. But so far, we heard that Chile might do something maybe that will impact more the copper, the big copper business than the gold business. But so far there's no changes up to now.
Tanya Jakusconek: I'll have to ask any quarter you know. Thanks.
Operator: Thank you.  The next question is from Fahad Tariq from Credit Suisse. Please go ahead, your line is open.
Fahad Tariq: Hi, good morning. Just two quick ones from me. So, on Jacobina Phase 2, can you just confirm that the CapEx is still expected to be below $57 million? I think that's the number you provided before.
Jason LeBlanc: Good morning, Fahad. Yes, absolutely, right. The capital for Phase 2 will be below $57 million.
Fahad Tariq: Okay, great. And then on Cerro Moro, so it sounds there's more normalized activity, but the workforce – there's still some workforce availability and constraints there. Can you just maybe walk us through what would change if, for example, you got back to 100% of the workforce, like what would change, would it be the cost, would it be access to certain parts of the mine? Just any color there would be helpful.
Jason LeBlanc: Yes, we're running at about 80%, 85% of the manpower. We're running the mail at full capacity. Like we mentioned the mine is getting back. So, it's basically access to more area on the development on the ground so that will improve flexibility for us in the future when we'll be able to be at full capacity. As the transportation ban has been lifted in between provinces, so that's going a lot better for us. It's a lot easier to being our people and that's increasing. That's why Q1 we saw a net improvement. And then as we see it in Q2, it's going fairly well too at Cerro Moro. So as more people are able to travel to sites we'll get back to normal activity. So, it's basically got an impact more the underground miners we are going to be able to do more than we do right now. Even if Q1, we saw great improvement. We were blasting seven, eight rounds per day. Last year sometime, we were at five, four, five or six rounds per day. So it has improved significantly compared to last year. And then we see going forward in Q2 mostly in the second half, I would say, Fahad that we think we'll be back to full operation at that Cerro Moro.
Fahad Tariq: Okay, great. That's very clear. Thank you.
Operator: Thank you. As there a no further questions registered at this time, I will return the call back to Mr. Racine.
Daniel Racine: Well, thank you operator. Thanks everyone for joining us today. We'll look forward to update you on our second quarter call in July. Please take care and stay safe. Thanks everyone. Bye-Bye.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.